Operator: Ladies and gentlemen, thank you for standing by and welcome to the Douglas Emmett’s Quarterly Earnings Call. Today’s call is being recorded. And at this time, all participants are in a listen-only mode. After management’s prepared remarks, you will receive instructions for participating in the question-and-answer session. I would now like to turn the conference over to Stuart McElhinney, Vice President of Investor Relations for Douglas Emmett. Please go ahead.
Stuart McElhinney: Thank you. Joining us today on the call are Jordan Kaplan, our President and CEO; Kevin Crummy, our CIO; and Peter Seymour, our CFO. This call is being webcast live from our website and will be available for replay during the next 90 days. You can also find our earnings package at the Investor Relations section of our website. You can find reconciliations of non-GAAP financial measures discussed during today’s call in the earnings package. During the course of this call, we will make forward-looking statements. These forward-looking statements are based on the beliefs of, assumptions made by, and information currently available to us. Our actual results will be affected by known and unknown risks, trends, uncertainties, and factors that are beyond our control or ability to predict. Although we believe that our assumptions are reasonable, they are not guarantees of future performance, and some will prove to be incorrect. Therefore, our actual future results can be expected to differ from our expectations, and those differences may be material. For a more detailed description of some potential risks, please refer to our SEC filings, which can be found in the Investor Relations section of our website. When we reach the question-and-answer portion, in consideration of others, please limit yourself to one question and one follow-up. I will now turn the call over to Jordan.
Jordan Kaplan: Good morning, everyone. Thank you for joining us. I'm pleased to report that our rent collection and leasing activity improved during the fourth quarter despite continued headwinds from the pandemic and tenant oriented lease enforcement moratoriums. In recent months, we have started to see movement on tenant payment plans for rent deferred under the pandemic. To-date, we have reached agreements with tenants who wrote about 15% of the outstanding balances. These deals are exempt from the moratorium protections and we have already begun collecting deferred rent under them. Except for immaterial amounts, we have not forgiven rent and we still expect to collect a large majority of all past due amounts. In prior downturns, the impact of personal guarantees and small business owners’ commitment to their companies have kept our default rate extremely low. Our cash collections have also improved. As of today, we have collected 92.7% of our rent from the three quarters affected by the pandemic including 96% of our residential rent, 95% of our office rent and 45% of our retail rent. We saw stronger leasing demand last quarter driven primarily by small tenants. We signed an impressive 197 leases and retention was also above average. We see the economy beginning to recover with tenants increasingly confident about their future. As more tenants engage, we should shift back to positive absorption. Of course, predicting the pace of recovery remains challenging at this early stage. And because occupancy is a lagging indicator, we expect to see some further decline during the first half of this year. Overall, we remain confident over the longer term. As I've said throughout the pandemic, I believe that companies will return to the office. Our tenants generally have short commutes and they don't face significant mass transit, parking, or vertical transportation barriers to re-occupancy. In the meantime Brentwood segment remains well-capitalized with no debt maturities before 2023. We own a dominant share of the best buildings and the best markets in L.A., and there is no threat of material new office supply in the near future. Our integrated operating platform is built to withstand recessions, and our team continues working to get better every day. With that, I will turn the call over to Kevin.
Kevin Crummy: Thanks, Jordan. And good morning, everyone. Our two multifamily development projects continue to make impressive headway. The demand for new units at 1132 Bishop, our office to residential conversion project in downtown Honolulu remains robust. As I previously mentioned, we have fully leased the first phase of 98 units and by year-end, had already leased 29 out of the 76 units in the second phase. Construction at our Brentwood high-rise apartment has nearly topped off and delivery of the first units remains on schedule for early 2022 In December, one of our joint venture sold an 80,000 square foot Honolulu office property for $21 million. Our decision to close the health club as a result of the pandemic triggered interest from a number of owner users targeting that type of space. The buyer will use the club for space for youth vocational training and afterschool programs. Property transactions in our markets remain slow as many potential sellers are in a watch and wait mode given current uncertainties. I will now turn the call over to Stuart.
Stuart McElhinney: Thanks, Kevin. Good morning, everyone. In Q4 we signed 197 office leases, covering 612,000 square feet, including 202,000 square feet of new leases and 410,000 square feet of renewal leases. As Jordan said, the recovery in demand from our tenants last quarter was led by our smaller tenants. As a result, the average size of the leases we signed last quarter was 3,100 feet, compared to our overall portfolio average of 5,u600 square feet. This resulted in our office lease percentage declining to 88.6%. The leases we signed during the fourth quarter will provide almost 10% more rent than the expiring leases for the same space although the initial cash rents were 5.8% lower as a result of large annual rent bumps over the term of the prior leases. On the multifamily side, our lease rate improved to 98.2% from 97.5% with gains in both West LA and Hawaii. I'll now turn the call over to Peter to discuss our results.
Peter Seymour: Thanks, Stuart. Good morning, everyone. The fourth quarter reflected the continuing impacts from the pandemic. FFO was $0.46 per share, down 15% from Q4 2019. AFFO declined 16% to $76 million, and same-property cash NOI declined by 20%. Compared to the third quarter, FFO increased by $0.06 from fire insurance proceeds and $0.02 from better collections and lower expenses. Those increases were partly offset by $0.02 of issue advocacy expenses for the November election. As a result, FFO increased by a net $0.06 per share compared to Q3. At only 4.6% of revenues, our G&A for the fourth quarter remains well below that of our benchmark group. Given the continuing uncertainties around the pandemic and local government ordinances, we are not providing guidance. However, I do want to share some general observations based on what we currently see. We expect further improvements in collections and parking revenue as the economy opens up and local moratoriums are loosened. These will be gradual at first but prior history suggests that we will collect a large majority of past due amounts in the end. We expect that leasing will recover over the course of the year. Because it is a lagging indicator, we expect occupancy to decline at least through the first half of the year. We expect straight line rent to be minimal in 2021 largely as a result of tenants who are put on a cash basis in 2020. We expect revenue from above and below market leases to resume its normal decline. As usual, these observations do not assume the impact of future acquisitions, dispositions, or financings. I will now turn the call over to the operators so we can take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question today will come from Nick Yulico with Scotiabank. Please go ahead.
Josh Baron: Hey there. This is Josh Baron with Nick. So, I was hoping you could dig into kind of what drove the decision not to provide 2021 guidance? And then maybe you could provide some of your assumptions a little deeper on office occupancy such as retention rates and upcoming lease expirations and then new leasing volumes versus pre-COVID levels?
Jordan Kaplan: There's a lot of questions, but I'll get them all. We didn't provide guidance because we don't have confidence in the way the pandemic is going to kind of withdraw and the economy is going to recover. And that just plays a huge role in it, more so even in our markets because when all the stay at home and the moratoriums are off, we think we're going to see a big change. You saw and we said it in our prepared remarks that we're happy with what we're seeing on the leasing. Because as you look at the last three quarters or the impacted quarters, you saw 125 new deals the second quarter, 150 in the third; now 250 new deals in the fourth quarter. That's a very good trajectory and it gives us confidence that when the market loosens up, when the stay-at-home orders are off, when people are feeling more confident about going out, we're going to do a lot of leasing. We know we have a strong market here. But the question of when that happens plays such a huge role in the way we lease, in what our numbers end up being that we don't feel confident that we can give you good information and guidance or the way the year is going to roll out. So, that's why we didn't give guidance. In terms of the leasing, it depends on that same set of issues. Well, what was your last question?
Josh Baron: Yes. Just your thoughts on retention rates and then on the level -- what level of new leasing you need for occupancy to actually improve?
Jordan Kaplan: Well, I would say that retention usually runs in the very high 60s up to 70%. So when you get above 70%, you're doing very good on retention. I would say that, what kind of leasing do we need to reverse things, our history has been 750,000 to 1 million square feet. And when we were running, I mean, running at those kinds of numbers and even plus, you saw our lease rate go up. And even at the 93-plus level, we were still moving up. When we're operating down in the 600,000 to 700,000, okay, now, you start slowly sliding backward even with good retention. So, it's somewhere in that range that we need to get to, to reverse things. I feel the reason -- I'll say again that I feel good about all that is, I mean, last quarter was brutal, right? We got -- everybody got sick. The ones that was poking their head up got sent back home again. So it was such so tough vis-à-vis the pandemic. And still we did a lot of deals. And I understand that it was 3,100 feet, but -- and our typical is 5,600 feet. But that gives you a very good feel for where --how the market feels about wanting to come back. And it supports the fact that we've set out one of our core strategy and our expectation was that the small tenants were going to lead the recovery and they are. Was that too much or did I answer all your questions?
Operator: And our next question will come from Alexander Goldfarb with Piper Sandler. Please go ahead.
Alexander Goldfarb: Hey. Good morning out there. I'm sorry I just hopped up another call, so apologies if you answered. But, Jordan, I think in your opening comments, you said that you have addressed 50% of the uncollected rents. And I recall you guys mentioning that there's about $6 million a month from people basically opting to voluntarily not pay you. So is the 50% addressed, is that around the $6 million of the people who are voluntary -- voluntarily not paying you or is the…
Jordan Kaplan: Alex, it's 15. 15 not 50.
Alexander Goldfarb: Okay. That's why -- okay. So…
Jordan Kaplan: The funny thing is…
Alexander Goldfarb: It's okay. You guys are convincing.
Jordan Kaplan: Okay. When I was practicing reading the script, I think that Stuart, or someone -- or Peter actually said, they're going to think you said 50. No way. I'm such a good orator. There's no way that will happen. Apparently, it happened.
Alexander Goldfarb: Okay. Well, I hope whoever took the over on that, you settle up with them. But basically, the 15% then of that $6 million monthly that's not paying that you've addressed. How did those discussions go and do you anticipate that increasing, or was that 15% those are the tenants who are going to settle up and the rest are only going to do it when the eviction moratoriums end?
Jordan Kaplan: You know it's -- I think that process is going to continue. I think it will be much more rapid once the moratoriums are over. But I think people want to -- are trying to get back to work and are trying to settle up on all their impacts from the pandemic. And that's why we're able to start making deals now. And basically if you look at what we're showing you outstanding, it was kind of all the rent that was due to us, we made deals on 50% of those deals. But what I thought was noteworthy about is we didn't really have to give up any rent. It was really immaterial amounts but tiny amounts. And so, that tells you that as we had expected that these people have the ability to pay. And they're getting the point now where they're like, well, I need to make a deal now because when the moratorium is up, they're going to just tell us, they have to pay the whole thing. So, they do it now while moratorium is there, and say, well, I'll make a deal, and I'll get some trajectory to pay because they have kind of come doing that right? Vaccines are out. The level of hospitalizations is dropping very fast in our area. So, with that visibility offset against the vaccines I think people figured it's time to re-engage. And they want to get back in their space.
Alexander Goldfarb: Okay. And then the second question is, Stuart, appreciate the comments on the increase in leasing activity to smaller tenants. But on your rent spreads they are sort of eroding from where they were in the third quarter. As you guys mentioned, the drop in anticipated occupancy is just residual, how should we think about the sort of trajectory of rents going forward? So, the market returns to normal, leasing resumes and gets more active, how do you think about where the rents will ultimately go and sort of it’s a prospective view that when we see your upcoming earnings releases over the next three quarters sort of what we should anticipate as far as rent trajectory.
Jordan Kaplan: I’ll let you explain it.
Kevin Crummy: I can tell you this. Number one, you need to see positive absorption. I think once you start seeing positive absorption you need a couple quarters of positive absorption and you'll see rent take off again. I think the markets are still relatively full. They're in pretty good shape. As long as people's view going forward is a positive view once we get beyond kind of all the lockdowns and the moratoriums I think you'll see rent pick up again. And I think you already see that level of attitude from the number of small tenants that came in and made deals. They want space, they want to keep their space. The reason our renewal rates are high is that tenants are coming in and saying I don't want to lose my space. It may be easy for a small guy to say I've been in my space in months, I'll just leave space in the future. But they're not doing that. They want to hold on to their space. So, first step is we need to see some positive absorption quarters, but then I feel confident that rents will return to start their trajectory and return to the levels they were at before.
Alexander Goldfarb: Okay. Thank you, Jordan.
Operator: Our next question will come from Frank Lee with BMO. Please go ahead.
Frank Lee: Hi. Good morning, everyone. Just to follow up on your comments on occupancy expecting to decline through the first half of 2021. Are you guys seeing any green shoots in any submarkets where occupancy has pressed bottom a bit? Or is the expectation that occupancy could continue to slip across each of the submarkets?
Jordan Kaplan: Well, I like green shoots. Okay. That reminds me right, that we had these conversations in the last recession. All right. To me, the biggest green shoots are I love the number of deals that were done. And I said it and I've been very focused on that because in terms of telling me that the market is still healthy and its ability to recover is strong, that was the most important thing. And it actually told me a second thing, too, which was that we've retooled our leasing operation. That backbone is so much stronger now with the way it works online. And to think that in a quarter where we were the most shut down, we did the most new deals is just absolutely incredible. So that's a plus to that group. When you say it's one market impacted differently than another market, the impact is coming at a city level, right? So you would say LA, Beverly Hills, Santa Monica, and Honolulu. Okay, Honolulu doing obviously better than those other markets. Santa Monica, I know you guys see some negative numbers in Santa Monica, but we're in downtown Santa Monica. And the numbers that you're seeing are East Santa Monica. So downtown Santa Monica is still pretty strong. Santa Monica has also backed off quite a bit on the moratorium. It doesn’t definitely apply to office. But then when you move to the City of LA, the City of Beverly Hills which covers a lot of markets. I mean, I know Beverly Hills is one market but that would cover Westfield Century City, etcetera. They're all impacted by the same thing. And so it's going to be hard to see a reverse in occupancy or positive absorption until the city lightens up on us.
Frank Lee: Okay. Thanks. And then any initial thoughts on the bill that's being floated around in Hawaii regarding the leasing moratoriums and commercial leases? It seems to be even more tenant-friendly versus the ordinances in California. I'm just curious what do you think the likelihood that this passes and thoughts on the impact it could have on the office market there.
Jordan Kaplan: We're just -- at the beginning of the fun political season and there's a lot of stuff that floats around, I can't -- we got to get more into it. I can't comment on -- I just finished the last round, so I don’t have much for you on that stuff yet. Sorry.
Frank Lee: Okay. Thank you.
Operator: And our next question will come from Steve Sakwa with Evercore ISI. Please go ahead.
Steve Sakwa: Yeah. Thanks. Good morning. Jordan, you mentioned parking. But one line item that's also been negatively impacted has been tenant reimbursement. So I assume that's largely a function of occupancy going down, but you had a pretty big drop between 2019 and 2020. How do we think about the recovery of tenant reimbursement. Is that solely a function of occupancy or is there something else going on?
Jordan Kaplan: Yeah. Well, frankly, the tenant -- that's an extremely complicated line item, but I think the primary thing going on there is that we're in a -- our costs of running the buildings have really gone down a lot relative to last year, previous years, maybe even people's base years. So, it's hard. If you say what's going to happen at the bottom line, it’s hard -- that’s a different issue. I think we're just looking at things and saying, we’ll just have less costs and then -- they keep kind of relooking at where comps are going to come in. And it's more a function of that than anything. It's not that there’s lower -- there is lower occupancy, so that has a very small impact. But I think the bigger impact of why you see -- when you see smaller expenses which are expenses are way down, then I would say, you better see smaller comps, right? And we are.
Steve Sakwa: Okay. Well, we -- I mean, it’s just a percentage if you look at reimbursements as a percentage of expenses. It went down about 600, 700 basis points. So, I realized expenses may be coming down, but it just seemed like the percentage dropped quite a bit. So, I can follow up with Peter offline. Maybe just switching to the fire insurance proceeds and kind of business interruption, I know that's a very lumpy sort of figure that you guys get. How do we sort of think about the timing of getting the units that were damaged back online and what's the kind of the timetable? Is that going to be ended by 2021 or does that sort of an indefinite time period there?
Jordan Kaplan: I'll tell you. What's going on is we're working with the city to make some very substantial changes to the fire-wide safety across all three towers that are in that project. And when you say work with the city, there's a lot of it. There's fire department, there's the Department of Building and Safety, there's the Department of Housing because this is subject to rent stabilization. And yes, if you said typical Douglas Emmett is getting those units back on line, moving slower than we would like, yes. But I would say I like the progress we're making with the city. Every department I name said, we're going to find a way to get there to get you to put it -- be able to do a lot of the activities in those -- the fire and life safety stuff, modifications that you want to do. So, I'm actually -- I actually feel good about where that's headed. But just like many things, you don't always get what you want. You get what you need. And I think we will get what we need at the end of the day. But we're not getting a speed out of the city. But I think we will end up with something that was worth waiting for.
Operator: And our next question will come from Emmanuel Korchman with Citi. Please go ahead.
Emmanuel Korchman: Hi, everyone. Good afternoon. Jordan or maybe Stuart, can we can we dig into those small tenant leases that you discussed earlier, the larger volume. Just give us some flavor as to maybe the types of tenants they are and where they're coming from, and where these tenants maybe that broke leases earlier are now just coming back as the moratorium starts to wear off?
Jordan Kaplan: Do you know what's the answer?
Kevin Crummy: I think what we've seen is it's our typical diverse set of industries. We're seeing demand from tenants across the board which is typical. It's not concentrated in one area or one type of tenant. So that was good. What was the second part of your question?
Emmanuel Korchman: Was it industry -- was there an industry concern? This is Manny. Sorry. Am I starting to sound like Bilerman now?
Jordan Kaplan: Yeah. You've been working with him for too long, I guess.
Kevin Crummy: You want me to rephrase? You want me to rephrase the question for him?
Emmanuel Korchman: I was just trying to get into all the leasing, of where it's coming from, is there any differences from what you'd been doing before any green shoots, the types of people that are leasing. I guess I'm just trying to get more details around it.
Jordan Kaplan: Yeah. The only thing I checked was it was -- because I think I saw something, was an industry-specific and it wasn't. It was the same kind of spread on industry. If I did get that info, it’s a lot of deals. But -- and I don't think it's any one market that got like a lion's share of the deals. Beyond that, I don't have a lot. I mean, to me, the green shoot is -- I'm just really happy with the 200 deal. That's a lot of deal. I mean, if this is not pandemic time and I know it's only 3,100 feet average instead of normal 5,600, you would normally say, wow, that was a lot of deal flow for new deals to be 200 deals.
Emmanuel Korchman: Right. And then if we can turn back to operating expenses for a minute. I guess you guys have cut those as much as you could in the buildings. How much of that is sustainable whether or not occupancies come up or is it going to be in lockstep with people coming back to the buildings and their expenses increase?
Jordan Kaplan: If you say looking at our goals next year, I think their energy savings that we will continue to get over the next few years and we will get this year. I think they're not necessarily huge payroll style savings, those just come back as people come back. You know we've cut the costs around the buildings dramatically. When the buildings are full again, we will keep a little bit but not a ton. And of course, insurance is up. So, we'll be living with higher insurance and thankfully property taxes will only move at the pace that they are prescribed and move under Prop 13. So, you know what that increase will be. Yeah, I don't have -- I would -- I think every year, we've done a good job of controlling and keeping the growth of expenses down. I don't know that something happened this year that caused us to say, wow, expenses compared to a full building before will be down in some dramatic way. Beyond the gains that we've made on energy conservation.
Emmanuel Korchman: Thanks, Jordan.
Operator: And our next question will come from Jamie Feldman with Bank of America. Please go ahead.
Jamie Feldman: Great. Thank you. Can you remind us just the timing on some of the -- on the moratoriums that are impacting you and your thoughts on leasing? And, I guess, as we think about when they do start to burn off, as we think about the fact that occupancy was down 100 basis points this quarter, do you think the declines start to moderate from here until the time the moratoriums burn off, or how should we be thinking about that?
Jordan Kaplan: First of all, I don't have that answer. Let me just start. I don't have that answer. And the only -- the two things that I think about when you ask that question is, first, I hate to keep coming back to this but we did a lot of new deals, okay? So, that means that the guy that’s not paying us and a guy moved in next door to him that just lease the space, okay? That’s giving a different feel to our community. The second thing is 15% of money that was owed to us, they showed up on our door and said, if we want to make deals, we’re going to have to pay you and we want to make deals and blah, blah, blah. Okay, I go. That's a very good sign. This is all about attitude. If they can see that what these cities have kept doing. moratoriums say the moratorium will end on such, such a date and then they go in on that date and they get political pressure and they go, okay, now extended another month; now, extended three months, now extend. Okay. I think the community is now thinking, wow, these extensions are coming to an end and therefore, they're making their own decision about those moratoriums and they're coming in and wanting to make deals, lease space, whatever the case may be. So, that makes me very hopeful for next year. And I don't know whether that will play out in a logarithmic way or in at a 45-degree angle or what will happen. But it's obviously starting to happen.
Jamie Feldman: Okay. But do you have the latest dates for these moratoriums? You're saying it doesn't even matter because they can always get extended.
Jordan Kaplan: I don't want to be such a negative guy, but you're probably right. I've gone and testified in front of city councils and done all kinds of stuff, and they -- you get a lot of not in their head and they're going, you're right. We need to you know pull off this out because I don't know why. But then they just don't seem to be able to do it. Maybe it's just too complicated them. You have a lot of people on the city council -- the city council has never thought they were going to ever be doing this type of thing. Many of them have never seen a commercial lease. So, I'm not sure how it wound and I'm not sure how it's going to unwind.
Jamie Feldman: And then you've made the comment about a short commute times to your buildings. I'm just curious, have you guys run data that shows the commute time by the different submarkets that you guys are in or different buildings you're in? I'm just curious how it ranges across the different assets you own.
Jordan Kaplan: So, if you say do we -- have we done a real survey and what's your commute to work, the answer is no. If you're saying do we have a feel for the communities that we draw from for the -- what buildings we're in, that answer is yes. And we put that together and it's in a chart that we have…
Kevin Crummy: It's on our investor overview presentation, Jamie. Basically, what we've done is saying the decision-maker, they've got to -- signing a lease, deciding where the office is likely to live in the Palisades or Brentwood or Bel Air or Beverly Hills, right up the street from Wilshire or where we're concentrated on the west side and then in Sherman Oaks [ph] in the Valley. And those can use sort of 10, 15 minutes down the hill to those major boulevards versus on the west side if you're going from the Palisades to downtown, you're more than an hour. You're in the car for two hours total for the day. So, we compared those and we have a chart in there that illustrates that. And that's what's driving the decision to stay closer to home for those decision-makers to have that sort of myth.
Jordan Kaplan: And we know that because our leasing people look at where the decision-maker lives when they're showing them space and when they're making a decision about whether they're going to engage in space for showing them or whether they're going to renew or whatever the case may be. That's one of the factors that we look at.
Kevin Crummy: Well, a guy that lives in Beverly Hills, the 405 access is a pretty big barrier, right? So that who lives in Beverly Hills still want to stay on the east side of the 405. They want to be in Westwood or Beverly Hills or Central City and the same for the -- same for the west for the 405. And I’ll say in Santa Monica Brentwood, they'll want to stay west of to the 405 typically.
Jamie Feldman: And would you say that the buildings you bought in recent years extend the average commute time for your portfolio or not necessarily?
Jordan Kaplan: No. I don't think it extends the commute. Most of what we've bought on the west side…
Kevin Crummy: Is shortened the commute. Yeah.
Jordan Kaplan: Yeah. I think it's short. I think we have a concentration, a bear concentration in Beverly Hills which draws a lot from that kind of Bel Air, Beverly Hills, and even the East Brentwood market. And then the stuff we bought kind of rolling down towards Santa Monica draws out of Palisades, Santa Monica in these areas.
Jamie Feldman: Okay. All right. Thank you.
Operator: And our next question will come from Rich Anderson with SMB. Please go ahead.
Rich Anderson: Hey. Good morning, folks. So you talked about this 15% of the non, maybe, moratorium manipulators or whatever would I call them starting to make deals. Assuming you weren't booking that revenue last year, how will this impact your earnings profile this year? Will you have like sort of a recapture number in some of your quarterly results that could make it kind of lumpy just in terms of the revenue stream?
Jordan Kaplan: Well, I think most of these deals kind of goal during this year and they pay monthly and they pay what they owe. So, as more and more deals are made, monthly might not be exactly the right word but it is additive to the rental income each year, the rental revenue each quarter.
Rich Anderson: Right. So you were not…
Jordan Kaplan: Because we didn't include it last year.
Rich Anderson: Right. Right. So, you're kind of getting doubling up on the number even though maybe it's small impact but -- that's the right word.
Jordan Kaplan: Yeah. I don't know if I'd say doubling up since we didn't get it last year but…
Rich Anderson: Well, that’s right.
Jordan Kaplan: You're right. It will be a boost to this year since we didn't get it last year.
Rich Anderson: The other question I have is you’ve mentioned the leasing, small or average users. I think you said that the GAAP rents are up 10% but the starting rent is down 5.8% and you attributed that to big bumps over the course of the lease. Can you give us some color on that, how much bigger are these rent escalators and how are you able to negotiate it?
Jordan Kaplan: I think what we're saying, Rich, if you have a five-year -- our typical five-year lease is 4% bump, that ending rent is 17% higher than the starting rent was. So, that's a big gap to overcome on the -- the ending to starting number which is the down 5%. But the overall economics are still 10% better for the new lease. So, just pointing out that our average contractual increases are probably higher than a lot of other markets that you look at. So, that was the point there.
Rich Anderson: What are typical rent escalators then relative to, say, other areas of the country?
Jordan Kaplan: We typically we're getting 3.5%. I mean up until…
Peter Seymour: 3% to 5%
Jordan Kaplan: Yeah, 3% to 5%. Up until recently a lot of our deals, 3.5% to 4% is on the majority of our deals in the recent years.
Rich Anderson: Okay. Good stuff. Thanks. That’s all I got.
Operator: And our next question will come from Blaine Heck with Wells Fargo. Please go ahead.
Blaine Heck: Thanks. Good morning out there. Maybe for Kevin or Jordan, can you just talk about what you guys are seeing on the investment sales side of things? It's clearly been pretty subdued recently relative to normal deal flow. But are you seeing any deals start to shake loose? And if so, are you focused more on office or on multifamily opportunities, or just kind of the best deal that comes across your table?
Jordan Kaplan: Well, the answer is yes. We're always looking for the best deal. Recently, we've been underwriting more multifamily than office. But, frankly, it's been slim pickings. I mean if you look nationally, the hot hand is industrial. And so, there's a lot of trades in the industrial market because that's a very, very strong market. And on the office side, it's been relatively anemic. We don't have a lot of high leverage players in our market. And so, there hasn't that huge pressure for people to put things on the market. And we're starting to see the green shoots. So, as that happens and people get more bullish about the market, they're going to be more inclined to put their assets out into a market the people are more positive about.
Blaine Heck: Okay. That's helpful and kind of dovetails into the next question. Given your low leverage profile, your discount to NAV or high implied cap rate, however you want to look at it and the lack of -- the current lack of deals to bid on. And Jordan, I know you've addressed this on prior calls, but just for an update, does it make any sense to get active on share buybacks here, or do you think you want to keep that dry powder for opportunistic acquisitions that might come about in the future?
Jordan Kaplan: I'm not against share buybacks The problem is share buybacks for a company are very different decision than a buyback decision for an investor. And I know, you guys know, I've been buying the stock myself because I'm an investor, right? But when I look at decisions for the company, I know that if I'm doing share buybacks it's either because I'm selling assets and getting cash from that as was pointed out to me last time, or it's just because I'm raising my leverage level and trading debt for equity which has a double sided sort of a compounding effect. And I'm not so -- I would say that because of those facts, I lean more to the conservative way that we manage our company’s balance sheet and capital structure. And because -- balance sheet and capital structure, I lean very conservative. It caused it to be less times when I'm pounding the drama of share buybacks for the company not for investors.
Blaine Heck: All right. It makes sense. Thanks.
Operator: And our next question will come from Craig Mailman with KeyBanc Capital Markets. Go ahead.
Craig Mailman: Hey, guys. Just a question on the leasing front, I did notice your short-term leases and the expiration schedule kind of ticked up about 16,000 square feet quarter-over-quarter. Could you just talk about what was going on there? Is that just kind of limited visibility on the tenant side that they want shorter term renewals or maybe there's something else going on there.
Jordan Kaplan: Yeah. I think you said it right which is typical for us in a downturn. Tenants feel less secure about the future. They tend to go a little shorter on their lease term. So that's what we'd expect, and that's what we saw. With all the uncertainty, we did see some tenants that wanted -- elected to sign shorter-term extensions which is a great sign that they're not giving up. They don't want to give up their space. They don't want to just go home and work. They want to keep their space, but they want to sign shorter term during this period. And then when they feel more certain about their business going forward, they tend to sign a little longer. So it's very typical for what we've seen through this cycle.
Kevin Crummy: I have to say that what I've noticed over a long time what the strengths of the company is and everybody does this but when the market is off and rents are off, people sign shorter deals. And then when the market is up and rents are high, they sign longer deals which would be obviously the opposite of what you would normally want to do. But it is coordinated with their two types of fear, right? Fear for their company so that they sign shorter deals when there's a bad economy; and then fear of keeping their space, they sign longer deals when the rate is higher. And that's been very good for us obviously because it's allowed us to have a very good kind of accelerated growth path in terms of our income, our FFO, AFFO, all those numbers.
Craig Mailman: Okay. That's helpful then. Then I know with what's been going on, you guys clearly turned off kind of the redevelopment program here. But it sounds like you're encouraged by the number of leases you've been signing and the platform that you guys have there. I mean, at what point -- what do you need to see for you guys to feel confident to restart some of those plans that you had pre-pandemic?
Jordan Kaplan: I can answer that two ways. If you say what do we need to see to start planning some of those projects, we've already seen it and we've already seen that. We've already started planning them again. If you say to actually start them, I need more visibility on this economy opening up again. But we know it's coming and, therefore, we are starting to plan again for some of that stuff.
Craig Mailman: Does the math change at all? I know on a GAAP basis, you guys are seeing still upticks, but at least on the cash side of things there's been some roll downs. Does the -- are your underwriting rents kind of getting impacted at all with what's going on in your markets? Are those still generally in place that it pencils from an economic perspective?
Jordan Kaplan: Most of the repositionings and work we were doing was -- it’d be hard not to be worth doing other than -- right now, the market's in such turmoil because we can’t use -- frankly, it's very hard to tell where rents are at the moment. But I still feel -- let me say it differently. We feel very good about where these markets are going to end up after this is over. And therefore, we're still going to do the planning to do the hard analysis that we always do about. If we spend this much money, what's the return going to be? I mean, we're certainly not using what's happening today to figure that out because we're seeing negative absorption, right? But we feel confident enough that we think that as things turn this year that we will see something that'll cause us to really start spending money.
Craig Mailman: Great, Thanks.
Operator: And our next question will come from Bill Crow with Raymond James. Please go ahead.
Bill Crow: Yes. Appreciate it. Thanks. Jordan, how confused are your tenants about the future use and demand of the space? I mean, you signed a lot of short-term leases. I assume it didn't have expansion space for de-densification. I'm just -- just kind of take us inside the mind of the tenants and maybe if there's a difference between smaller tenants and larger tenants that you're seeing?
Jordan Kaplan: That's a tall ask. I can give -- let me give you some -- I know this. More expansions and contractions on renewals, so it is actually a lot of expansion. I have not talked to any -- my friends that are tenants who both in our portfolio and other portfolios, I'm not talking to anybody that's saying, oh yeah, we're sending tons of people home or think that's going to stay that way. I know some people are making adjustments to their space or just figured out just coming back to our space and they've already built out sort of very little numbers. Do you want to add something in?
Kevin Crummy: Yeah. I would say the way that we were building our -- if you think about our typical suite, our small suite 3,000 feet, the way it was built out pre-pandemic was probably Jordan set 225 a square foot per person, window line offices, a couple of workstations, a conference room, a kitchen. That's a very typical buildout for us. That doesn't really need to change. We haven't seen a massive change in the way people are planning their space going forward because they were already distanced in a way that they feel comfortable. And that's why I think you've seen our attendance be a lot higher than some of the other markets you're looking at.
Bill Crow: What has happened to that tenants rate if you go back six months ago to today?
Jordan Kaplan: Well, at the very beginning, I'd say they were definitely confused and so are we. So that would be in second quarter. And the arguments you raised were very low. Now, I think the last time I saw some of type of real look at this, we figured our buildings were about 30% to 40% occupied. I can’t tell you that everyone, all four of us on this call, for sure, would tell you that the traffic in the morning and the evening is up. I'm talking about just driving your car, trying to come maybe work, come to work, whatever the case may be. So, I guess my best read on the building I’m sitting in and I know that parking garage is more full now because I could see it and I know there's more traffic. Do -- I don't know everybody else's buildings and what's going on but there's way more traffic on the road in the going to work time and they’re going home time that there was even like four to six weeks ago.
Operator: And our next question will come from Daniel Ismael with Green Street Advisors. Go ahead.
Daniel Ismael: Great. Thank you. Maybe just sticking with the mind of the tenants, how are you perceiving tenants looking to upgrade their space. Are you noticing any flight from Class B to Class tenants look to trade up or how are they looking at the quality of their spaces, their out market?
Jordan Kaplan: That's a good question. I remember when we came out of -- we were coming out of the last recession. We had a ton of rebalancing. Now, that recession was long and it gave a lot of people opportunities to that they had businesses, they were confident then to move in a much nicer space and that say they typically would be in. And then as we came out of the recession, we started literally letting them out of leases and re-leasing that space and moving to that, so let's say where they more properly would be. I don't know that this has been around long enough for that kind of shift to happen. And I haven’t heard anyone say that there's a shift in that way. So, I think this will be -- in terms of us kind of returning to some sort of normalcy, I don't think we'll see that big kind of shift back and forth that we saw in the recession that happened in 2008, 2009, 2010 where I remember like 2011, 2012 you guys were asking us questions and we're like, yeah, we're literally letting people out of leases in our most expensive markets and letting them sign leases in supermarkets because we have tenants for that space right now, but I don't think we've seen that shift -- there isn’t even time for people to do that shift. So, I doubt that will happen this time.
Daniel Ismael: And then last quarter you mentioned about sitting I believe portfolio wide about 6% above the markets. Is that still a decent line to use or is these most recent quarters cash releasing spread more indicative of where res sit relative to market.
Jordan Kaplan: Yes, that's still a good estimate for where things are.
Daniel Ismael: Okay. Great. That’s all I had.
Jordan Kaplan: Right.
Operator: And this will conclude the question-and-answer session. I'd like to turn the conference back over to Jordan Kaplan for any closing remarks.
Jordan Kaplan: Well, thank you all for joining us and I look forward to speaking with you next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines at this time.